Operator: Ladies and gentlemen, welcome to Q4 2024 analyst conference call and live webcast. I'm [indiscernible], the Chorus Call operator. [Operator Instructions] The conference must not be recorded for publication or broadcast. At this time, it's my pleasure to turn over to an Ioana Patriniche, Head of Investor Relations. Please go ahead.
Ioana Patriniche: Thank you for joining us for our fourth quarter and full year 2024 preliminary results call. As usual, our Chief Executive Officer, Christian Sewing, will speak first; followed by our Chief Financial Officer, James von Moltke. The presentation, as always, is available to download in the Investor Relations section of our website, db.com. Before we get started, let me just remind you the presentation contains forward-looking statements, which may not develop as we currently expect. We therefore ask you to take notice of the precaution rewarding at the end of our materials. And with that, let me hand over to Christian.
Christian Sewing: Thank you, Ioana, and a warm welcome from me. Before we discuss our preliminary 2024 financials in detail, I wanted to offer you my perspective on 2024. This was a vital transition year for us, which has seen us deliver crucial building blocks in the transformation of our business model. We have moved past a number of legacy items absorbing a series of nonoperating costs predominantly litigation matters, which have masked the underlying strength of our business. Our operating performance demonstrated execution against our plans as our pre-provision profit increased by 19% compared to 2023, if adjusted for certain specific items. Importantly, however we are now set for a clean and significantly more profitable year in 2025 with the foundation now build for further improvements in the years beyond. Let me spend a bit more time talking through this turnaround work, which has resulted in a fundamentally different bank in terms of earnings power in combination with a better risk profile and improved resilience all of which are visible in our 2024 financials. Let's start with the top line. First and foremost, we have successfully positioned all our businesses to perform by strengthening our market position, reinforcing our focus on clients and working with deep dedication as their Global Hausbank. Our business have clear momentum which is visible through our revenue delivery of over €30 billion, well above what we thought would be achievable when we first set our 2025 targets. And we are very pleased with the strong start of this year, which, again, demonstrates our clear franchise momentum. Second, on expenses, we delivered on our adjusted cost guidance of €5 billion each quarter when excluding the already guided exceptional items. We have continued to execute on our operational efficiency measures which gave us room to make critical investments into business growth, technology and controls while reducing redundancies in our cost base in line with our plan. We believe these investment decisions will strengthen our delivery in 2025 and beyond. Third, importantly, we continue to improve our risk profile in 2024, which did come at a cost of €1.7 billion across 3 specific litigation items. And while these items, of course, impacted our reported results, moving forward, our position to deliver returns is not only strengthened for 2025, but also for future years, particularly given the supportive market backdrop for our businesses. Looking ahead, as we have continued to make conscious investments into our franchise, coupled with stickier inflation, we now expect to end 2025 with a cost income ratio of below 65%. We know we need to continue to focus on cost management in the near and medium term and we have a clear management agenda to address this. Crucially, for this year, we expect to deliver strong positive operating leverage as we increased revenues by €2 billion year-on-year while keeping adjusted costs flat. Fourth, on distributions. We remain committed to capital returns. And today, we are announcing a €750 million share buyback program in addition to a dividend per share of $0.68 in respect of 2024, which we plan to propose for approval at our Annual General Meeting. Together, this represents a total of €2.1 billion of capital distributions announced so far this year. As we have said before, we want to maintain a prudent approach to capital management, and we will, of course, look to do more for our shareholders in line with our performance. Our strong CET1 ratio of 13.8% sets us up well for this heading into the rest of the year. And we remain committed to surpassing our total shareholder distribution target of €8 billion. To summarize, 2024 has not been easy, but it was an important year for us as we took important management actions to secure our trajectory and cement our path to a return on tangible equity above 10% for 2025. Beyond that, we have defined a clear management agenda for further developing our global house bank offering and sustainably increasing returns in 2025 and in the years thereafter. Let's now discuss each of these points in detail starting with our operating momentum on Slide 3. We increased 2024 pre-provision profit by 19% compared to 2023, if adjusted for 3 specific litigation items as well as the goodwill impairment in 2023. The specific litigation items in 2024 comprised the Postbank takeover litigation matter; elevated provisions for Polish FX mortgages; and the derecognition of the reimbursement asset for the Raschem Alliance litigation matter, which James will elaborate on further. Pre-provision profit remained broadly stable on a reported basis as our operating strength enabled us to absorb even large exceptional items. We have delivered sustained operating leverage of 5%. Excluding the specific litigation items in 2024 and the goodwill impairment in 2023. Growth was driven by both revenue momentum and cost discipline. Revenues grew by 4% year-on-year supported by our deep dedication and client engagement and around 75% came from more predictable revenue streams in Corporate Bank, Private Bank, Asset Management and FIC financing. A well-diversified revenue mix enabled us to grow through the interest rate cycle. Commissions and fee income increased by 13% year-on-year in line with our strategy and driven by our strategic investments. Net interest income in key banking book segments and other funding outperformed our prior guidance and remained broadly stable year-on-year. Adjusted costs decreased 1% year-on-year to €20.4 billion or 2% to €20.2 billion, excluding the preguided real estate measures and U.K. bank levy true-up in the fourth quarter. Excluding these items, we delivered 4 quarters of adjusted cost of around €5 billion, in line with our plans. We have made steady progress on our efficiency program. This offset conscious investments in the franchise and inflationary pressures. We have now completed measures we've delivered our expected gross savings of €1.85 billion, almost 3/4 of our €2.5 billion goal with around €1.67 billion in savings already realized. As part of this program, we have removed 3,500 roads, primarily reducing nonclient-facing roads, focus in high-cost locations, while recent hires have been focused on technology and controls as well as revenue-generating areas. Turning to Slide 4. Let us now look at the momentum we have created in each of our businesses against the goals set in 2022. At our Investor Day in March 2022, we set ambitious objectives for 2025. With 12 months to go, our business growth focused strategies are delivering strong results against these objectives. The corporate bank remains at the core of the Deutsche Bank franchise, and we have further enhanced its value proposition through a strengthening client franchise and investments in technology supported by our global network. As an example, incremental deals won with multinational clients have increased by around 40% since 2022. The division outperformed its revenue growth ambition despite normalizing interest rates and delivered a return on tangible equity of 13% in 2024, 3x its 2021 level. The Investment Bank is outperforming its revenue growth target and delivered an RoTE of 9% in 2024, cementing its position as a leading European investment bank. We are also particularly pleased we have outperformed the peer average for the full year as we continue to see our investments paying off. The business has demonstrated sustained revenue performance through the cycle since 2021 supported by further diversifying its income stream and increasing market share in origination and advisory by around 50 basis points in 2024. In fixed income and currencies, we have built strong market share and demonstrated sustained growth in financing, which is up 12% year-on-year in 2024 and we achieved significant year-on-year growth of over 60% in O&A in 2024 through considerable market share increases in a growing fee pool. Since 2021, the Private Bank created two distinct businesses to sharpen the commercial focus and to better serve clients' changing needs. We scaled up the Wealth Management franchise successfully turning around profitability in core markets while strengthening our #1 positioning in Germany. In Personal Banking, we have launched a major efficiency transformation with a decisive review of our service model and branch footprint optimization. The business continues to leverage its leading market position with net inflows of €29 billion, supporting noninterest revenue growth of 5% last year, in line with our strategy. Overall, the division grew revenues in line with targets since 2021. The business has made transformative efficiency gains since 2021, closing a further 125 branches in 2024, increasing the total to almost 400 closures since 2021, in addition to reducing full-time employees by a further 1,300 in 2024 alone. Looking at the fourth quarter more closely, adjusted costs were down 9%, reflecting delivery of savings despite ongoing inflationary pressures. Profitability and higher returns, especially in German Personal Banking, will remain top priorities, and we expect to deliver them by a further streamlining of our branch network and the modernization of both our brands while leveraging the synergies from our unified IT environment. In short, the Private Bank continues its path to sustainably transform the business, which we believe will translate into substantially better returns which would be visible this year and beyond. Asset Management, again, grew assets under management in 2024 by €115 billion and surpassed €1 trillion for the first time, boosted by net inflows of €42 billion into passive investments. Exceeding this mark shows the scale and competitiveness of our Asset Management division. Overall, the business demonstrated its strength and showed increased cost efficiency, leading to an RoTE of 18% in 2024. Driven by the benefits of higher AUM levels and revenue growth initiatives already in place, we expect the compound revenue growth rate in Asset Management to turn positive in 2025 and approach its original ambition. On Slide 5, let me now turn to the question why we feel confident in reaching our 2025 revenue growth ambitions. Since 2021, we have delivered a compound annual growth rate of 5.8%, in line with our upgraded target range. In 2025, we expect continued franchise momentum and our capital-light businesses to drive further growth supported by our investments, increasing the revenue CAGR to around 5.9%. We have a clear road map towards our 2025 target. In the Corporate Bank, we expect revenues to grow by around 5.5% or €400 million, largely from scaling of commissions and fee income predominantly in trade finance and fee-based institutional business and repricing of existing clients. resilient net interest income will provide further support. Investment Bank revenues are expected to grow by around 8% as we see encouraging trends in the market, good levels of corporate activity and confidence, solid financing conditions and pent-up private equity dry powder. The main growth driver is expected to be O&A with an increase in revenues of approximately €600 million, reflecting growth globally, but led by the U.S. We have positioned ourselves well to benefit from these trends and grow market share further, supported by our investments, reaching their full potential. We also expect FIC to show continued growth in 2025, driven by ongoing strength and further focused investments in financing. We will continue to develop our wider platform in both existing and adjacent businesses with a focus on the U.S. and flow credit. In the Private Bank, we expect revenue growth of around €400 million or about 4%, driven by higher NII from continued business volume growth and the deposit hedge rollover as well as growing noninterest income, harvesting benefits from higher assets under management and growth in investment solutions. Finally, we expect asset management to grow by around €300 million or 12.5%. We expect the business to benefit from the growth in assets under management during 2024 and a strong equity market development this year. which should boost management fees in 2025. We furthermore expect continued growth in passive, including extractors and in alternatives. These drivers underline our confidence in achieving our revenue goal of around €32 billion in 2025 before FX benefits. At year-end FX rates we expect this number to be around €32.8 billion. Importantly, all divisions are contributing to the substantial growth from both noninterest revenues and NII, which once again reflects our well-diversified business mix. Around 75% of this growth is expected to come from more predictable revenue streams. Let me now turn to costs on Slide 6. In 2025, our goal is simple: deliver a significant normalization of nonoperating costs and essentially flat adjusted costs despite our ongoing investments into growth. Moving past significantly elevated litigation and other restructuring charges in 2024. We are planning with a clear reduction of €2.1 billion in nonoperating costs this year. Turning to adjusted costs. Since we presented our ambitions for 2025 at our Investor Day in 2022, we have navigated dynamically through a volatile and fast-moving environment. And this resulted in some additional costs as we choose to make investments in technology controls and business growth and with inflation proving to be more persistent than anticipated. In respect of the additional investments, we have positioned the bank for sustainable growth in 2025 and beyond by investing into 2 key areas. Firstly, growing our franchise beyond our original revenue ambition to better serve our clients and deliver higher rewards for shareholders. Secondly, expanding our initially planned mandatory and strategic investments into technology controls and regulatory remediation. In 2024, we hired 1,300 technology specialists and added 400 targeted revenue-generating roads supporting long-term cost improvements and growth. In 2024 alone, we also invested a further €1.2 billion into controls, taking the total since 2019 to more than €6.5 billion. Some of these additional expenses will stay with us this year. However, we expect to offset much of the impact through our cost measures in line with our plan, which we expect to yield further benefits in 2025 and beyond. Our optimization initiatives in Germany are expected to generate savings of close to €200 million. Investments to reduce the complexity of our organization by improving technology and optimizing the workforce across infrastructure are expected to deliver a further €300 million. An automization of processes alongside better alignment of our front-to-back setup should deliver another €200 million. Our initiatives include the previously announced closure of additional branches in 2025. The implementation of new branch formats as well as decommissioning of further applications or moving them to the cloud. The net effect is that we expect to hold our adjusted cost base flat year-on-year while reducing nonoperating costs significantly. James will detail the year-on-year cost work later. This, combined with the anticipated revenue growth of €2 billion we just discussed will create substantial operating leverage. As a result, we now target a cost income ratio of below 65% this year, marginally higher than our original target, though this will further support growth and business momentum in and beyond 2025. As I said earlier, this does not compromise delivery of our greater than 10% RoTE target or our plans for capital distributions. Let me now turn to this, starting with the path to our return on tangible equity target on Slide 7. We remain on a clear path to achieve our RoTE target of above 10% and in 2025 driven by focused execution across all 3 delivery pillars of our global house bank strategy. As you saw, we have a business-by-business road map to grow revenues to around €32 billion in 2025, in line with our target growth of 5.5% to 6.5%. Operational efficiencies play a key role in keeping adjusted costs flat in 2025 and thereby reducing total noninterest expenses as nonoperating costs normalize. Capital efficiencies have delivered cumulative RWA equivalent reductions of €24 billion, close to our end 2025 goal of €25 billion to €30 billion. In the fourth quarter alone, we delivered €2 billion of RWA equivalent reductions driven by data and process improvements. We are confident we will reach the upper end of our target range by year-end 2025 through further securitizations and data and process improvements. Delivering on these pillars gives us a clear path to an RoTE about 10% in 2025. The nonrepeat of significant litigation items in 2024 gives us a starting point of an adjusted RoTE above 7%. Firstly, reaching around €32 billion revenue goal is expected to add more than 2 percentage points to our 2025 RoTE. Around 20% of this growth expected to come from an increase in net interest income by roughly €400 million, primarily due to the rollover of hedges. Another 40% or roughly €800 million should come from higher noninterest revenues from more predictable income streams, including from scaling actions and monetizing client relationships in the corporate bank or the spillover effect from higher AUM levels in asset management and private banks. The remaining revenue increase is expected to come primarily from market share expansion in a growing fee in O&A. From a regional perspective, we expect increasing revenues in the Americas, supported by an improving backdrop and reflected our targeted investments while further growth is expected to come from Asia and the Middle East as well as Germany. Secondly, we expect an additional contribution of around 50 basis points from the reduction in noninterest expenses we just discussed. Together, this would bring us already to our targeted RoTE level. And finally, we expect a contribution of around 40 basis points from the reduction of credit loss provisions in 2025 towards more normalized levels. in line with our guidance with our third quarter results. All in all, we see a clear path to achieving our RoTE target of above 10%. Let me now discuss the implications for capital distributions. The value we have created for our shareholders is visible in the growth intangible book value per share by more than 20% since 2021 to almost €30. This was driven by strong organic capital generation and greater capital efficiency which supported both rising shareholder distributions and business growth. We have received regulatory approval for a share buyback of €750 million. Additionally, and as guided, we plan to propose a dividend per share of $0.68 for 2024 at our upcoming Annual General Meeting in May, amounting to a distribution of around €1.3 billion. Together, these initiatives result in shareholder distributions of around €2.1 billion announced so far in 2025. The announced distributions in 2024 would bring cumulative capital return to around €5.4 billion since 2022, in line with our promise back in July 2019 when we announced our compete to win strategy. Looking ahead, our guidance for a dividend of €1 per share in respect of financial year 2025 would equal roughly €1.9 billion with that modest additional share buybacks this year or next year would be sufficient to get our €8 billion target. However, we are committed to surpassing this target as we have said before, and it remains our priority to reward our shareholders in line with our performance, and we are confident that we will continue to deliver rising distributions in the coming years. Before I hand over to James, let me give you a brief outlook on our next phase on Slide 9. With the end of 2024, the foundation of the Global Hausbank has been laid successfully. And as you heard, we are set to deliver the return target we have set ourselves for this year, supported by the momentum and operating strength of our franchise. And of course, the management team also looks beyond 2025 towards our longer-term ambitions, and we are committed to step up. We are already implementing measures today to elevate Deutsche Bank's performance beyond 2025, which will make us a more profitable bank. This focuses on client work, our own operations and the way we work and lead. In short, we want to be even more dedicated to our clients' needs while continuing to embed our clear purpose in our daily activities. This will drive further revenue growth. We are determined to make this bank more efficient, and that means changing how we do things. It starts with a simpler organizational setup and a smaller workforce and it requires to become even more technology-driven, which will also enhance client experience. We will put full focus on the productive allocation of capital to improve shareholder value and further balance out our earnings profile. In the end, we aim to become a much more profitable bank overall than our 2025 RoTE target. Our management agenda for 2025 and beyond focuses on 3 key points: Growing value generation; reengineering our target operating model; and stronger leadership. Firstly, we aim to further grow value generation for our shareholders by sharpening our focus on capital allocation and RWA optimization at both business and client level to boost returns. We see tremendous potential from further improving resource productivity across the portfolio via repricing and reallocating capital to high-return franchises supporting further revenue growth. We plan to drive higher resource productivity through capital light originations in line with our strategy and accelerated asset rotation. We aim to boost the profitability of lower-return business through front-to-back efficiency improvements and be disciplined in redeploying capital elsewhere, including making exits, if necessary. We have already started these reviews in some lending portfolios such as mortgages and are seeing benefits of these choices. Secondly, we plan to achieve the next phase of operational efficiencies beyond our €2.5 billion goal by reengineering our target operating model. Our clear ambition is to operate the bank with a lower head count, and we aim to run a much leaner platform as our investments in technology, automation and controls material. We are tackling inefficiencies by giving business leaders more control over their cost base, coupled with further front-to-end streamlining of processes. We plan to actively reduce management layers and roads and integrate teams as part of our workforce optimization initiatives, in particular, scrutinizing those areas where we do not see the required efficiency improvement. Thirdly, our management agenda emphasizes strengthening risk management and accountability and evolving our culture through a purpose-led framework, we call, this is Deutsche Bank. With our investments, we are well positioned to grow the Global Hausbank model make it more efficient and generate more capital for deployment in the business and shareholder distributions. Our management agenda provides significant scope to further improve our return profile and deliver sustainably growing earnings beyond 2025, unlocking the full potential of this bank. We will provide you with more details on our aspiration and actions beyond 2025 over the course of this year, but our immediate focus remains on demonstrating disciplined execution. With that, let me hand over to James.
James Von Moltke: Thank you, Christian, and good morning. As usual, let me start with a few key performance indicators on Slide 11. Notwithstanding the items in the fourth quarter that improve our risk profile, we maintained a level of resiliency we could not have shown a few years back, underscoring the successful transformation to date. Our capital position remained robust with the CET1 ratio at 13.8% at year-end despite absorbing the specific litigation items throughout the year and the capital deduction for the €750 million share buyback announced today. Our liquidity metrics remain sound. The liquidity coverage ratio was 131%, in line with our target and the net stable funding ratio was 121% at the upper end of our target range. Let me now turn to the fourth quarter highlights on Slide 12. Group revenues were €7.2 billion, up 8% on the prior year quarter. Provision for credit losses was €420 million, equivalent to 35 basis points of average loans, down €67 million year-on-year. Noninterest expenses were €6.2 billion, up 14%, reflecting exceptional nonoperating and adjusted cost items. Nonoperating items were €945 million in the quarter, including net litigation charges of €659 million and restructuring and severance charges of €286 million. Adjusted costs were €5.3 billion, including charges for optimizing the bank's own real estate footprint of €100 million as well as a true-up for bank levies in the U.K. of €134 million. And despite the exceptional cost items, we generated a profit before tax of €583 million and a net profit of €337 million. Our tax rate in the fourth quarter came in at 42%. And excluding the aforementioned litigation matters, the tax rate would have been 28%. We expect the 2025 full year tax rate to range between 28% and 29%. In the fourth quarter, diluted earnings per share was $0.15, and tangible book value per share was €29.90, up 5% year-on-year. Let me now turn to some of the drivers of these results and start with a review of our net interest income on Slide 13. NII across key banking book segments and other funding was strong at €3.3 billion, up sequentially and broadly flat on the prior year quarter. Compared to the third quarter, slightly higher deposit volumes, in particular, overnight deposits offset the expected beta conversions in the corporate bank. Private Bank and was up sequentially as we guided before, and FIC financing continued to grow its loan portfolio with a corresponding increase in quarterly revenues. With that, let me turn to the full year NII trends and the outlook for 2025 on the next page. Given the stronger NII in the fourth quarter, we outperformed our prior 2024 full year guidance of €13.1 billion, reporting €13.3 billion across our key banking book segments and other funding. This is about €100 million higher than 2023, reflecting the resilience of our NII even during an environment of falling rates and beta convergence. For 2025, we expect NII yet again to increase to around €13.6 billion, a sequential increase of around €400 million. This is in line with our guidance provided last quarter but reflective of the outperformance in the fourth quarter. The key drivers of the rollover effect from our hedges supported by portfolio growth in the Private Bank, Corporate Bank and FIC financing. As a reminder, our hedge portfolio stabilizes our income by extending the tenor of interest rate risk, but it also protects us against a drop in interest rates. We provide further details in the appendix on Slide 38. Based on forward rates at the end of December, we expect the income from the hedge book to grow by several hundred million euros each year as we roll maturing hedges. In current rate conditions, we are more sensitive to the long-term rate development and are less sensitive to short-term movements in policy rates. Turning to Slide 15, Adjusted costs were €0.3 billion for the quarter. We have seen lower costs across all categories versus the prior year quarter and reduced adjusted costs, excluding bank levies by 2% or €118 million. Bank levies were driven by the true-up in the U.K. of €134 million. In line with our guidance in earlier quarters, we managed adjusted costs, excluding bank levies, closer to €4.9 billion if adjusted for €100 million from optimizing our own real estate footprint and the other unfavorable impact from exchange movements of around €60 million. We have included further details in the appendix on Slide 29. On a full year basis, adjusted costs, excluding bank levies, increased by around €100 million on a constant FX basis, as savings from streamlining our IT platform and lower spend for professional services were offset by higher costs for compensation and benefits, driven by rate growth, higher performance-related compensation and the impact from increased internal workforce. With that, let me turn to our cost guidance for 2025 on Slide 16. As Christian said earlier, a lot has happened since we embarked on our global house bank strategy in 2022. And while we have taken opportunities to not only create a more resilient franchise, but also to ensure that we are better positioned for sustainable growth, there have also been headwinds, which we have not been able to fully offset. Noninterest expenses in 2024 included a number of specific items, which are either nonrecurring in nature or aimed at improving our risk profile and supporting target delivery in 2025. total nonoperating costs were €2.6 billion, driven by litigation charges for 3 specific items, which amounted to €1.7 billion. Firstly, the Postbank takeover litigation matter had a full year net impact of €906 million, reflecting the initial provision and the settlement agreements we entered into in the third quarter. Secondly, the industry-wide FX mortgage matter in Poland resulted in additional provisions of €329 million in the fourth quarter to reflect our updated estimation of the impact of developments in the market. The total impact for the year was €500 million. And lastly, the RusChemAlliance Alliance litigation matter, which had an impact of €262 million in the fourth quarter and affected the corporate bank. Recent developments led to the derecognition of a reimbursement asset as a recovery of the claim through an indemnification obligation could no longer be assessed as virtually certain. However, we believe we are in possession of a valid reimbursement claim and will vigorously assert our position. Other litigation charges of €366 million were broad-based across a number of smaller items. Additionally, restructuring and severance charges were elevated in the year at around €530 million, slightly higher than the €400 million we initially expected for the year and included additional actions taken during the fourth quarter. We made further progress, particularly in the Private Bank to support our strategic transformation, which is aimed at rationalizing our branch footprint in Germany, while improving the access to advisory solutions for our retail clients. Assuming a normalization of overall nonoperating costs, the noninterest expense step off for 2025 would have been €20.9 billion. For 2025, we expect overall adjusted costs to remain flat year-on-year at around €20.3 billion, which translates to around €20.7 billion at year-end FX rates. This is higher relative to our prior guidance, mainly driven by additional investments and business growth opportunities that we identified during our last planning cycle. These investments, particularly into our Corporate Bank and Investment Bank businesses, support our targeted revenue growth this year and position us for further growth beyond. We also see continued demand for control and remediation investments to ensure the bank fulfills all of its regulatory obligations and expectations. In line with our original target, nonoperating costs are expected to materially reduce to around €400 million in 2025 as litigation and restructuring and severance charges normalize. As a result, noninterest expenses in 2025 are expected to be around €20.8 billion, resulting in a full year cost-income ratio of below 65%, but delivering a significant implied operating leverage of 16%. The investments leading to a higher cost base will also support toward further operating leverage beyond 2025. In short, although the reported numbers for 2024 are higher than originally planned, Christian and I are encouraged regarding our trajectory going into 2025. Let us now turn to provision for credit losses on Slide 17. In line with the guidance provided in October, full year provisions stood at €1.8 billion, equivalent to 38 basis points of average loans. Provisions were impacted by specific headwinds, including transitional effects from the Postbank integration, which continue to taper off; two relatively fast-paced larger corporate events impacting provisions at a level unusual compared to historical standards and which were materially hedged as well as a cyclically higher level of commercial real estate provisions, which we expect to decrease on a full year basis in 2025. You will find the full year update on transitory headwinds on Slide 42 of the appendix. When looking at the fourth quarter, provision for credit losses was €420 million or 35 basis points of average loans. As guided, the sequential decrease in provisions of €74 million was due to a reduction of Stage 3 provisions as the Corporate Bank benefited from a larger recovery on a legacy workout situation. Investment Bank provisions were lower, benefiting from a further small reduction of provisioning levels in CRE. During the fourth quarter, the bank completed the loan portfolio sale in the U.S. Stage 3 provisions decreased sequentially to €415 million. Provisions were mainly driven by the Private Bank, which included impact from a small number of legacy cases in Wealth Management as well as the investment bank where CRE remained the main driver. Stage 1 and 2 provisions were negligible as various portfolio effects were offset by slightly improved macroeconomic forecasts and overall recalibrations -- overlay recalibrations in the fourth quarter. Before we move on, a few remarks on asset quality. We maintained tight underwriting standards and continue to conservatively manage our loan book, including single-name concentration risks through comprehensive hedging programs with a total notional volume of hedges standing at €42 billion. Our regular and comprehensive portfolio reviews show that overall credit quality remains stable and forward-looking indicators such as rating migration and trends in our noninvestment-grade portfolio as well as watch list ratios do not suggest a noteworthy deterioration in asset quality. We also see broadly stable developments in our domestic market as outlined on Slide 45 of the appendix, and we are carefully monitoring the developments surrounding it. With that, let me turn to capital on Slide 18. Our fourth quarter common equity Tier 1 ratio came in at 13.8%. CET1 capital decreased primarily reflecting the deduction of the €750 million share buyback from excess capital. As expected, market risk RWA decreased driven by SBAR and incremental risk charge from careful positioning into year-end. The marginal increase in credit risk was driven by model changes, largely offset by reductions from capital efficiency measures. With respect to the CRR3 go-live effective January 1, 2025, our pro forma CET1 ratio was 13.9%, around 5 basis points above our ratio for year-end 2024. However, the CRR3 go-live will also lead to around €5 billion of RWA equivalent impact from operational risk to come in the first quarter. Hence, the total impact of CRR3 is a CET1 ratio burden of around 15 basis points, consistent with prior guidance. At the end of the fourth quarter, our leverage ratio stood at 4.6%, flat sequentially as the benefit from additional Tier 1 capital issuance in the quarter was offset by the CET1 deduction for the €750 million share buyback announced today and FX effects. With regard to bail-in ratios, we continue to operate with significant buffers over all requirements. In short, our capital position remains strong and already reflects our approved share buyback. And with that, let us turn to performance in our businesses, starting with the Corporate Bank on Slide 20. Corporate Bank revenues in the fourth quarter were €1.9 billion, 1% higher sequentially driven by growth in deposit revenues from interest hedging and higher volumes offsetting ongoing margin normalization. In 2024, we have made good progress on our growth initiatives to offset the normalization of deposit revenues by further accelerating noninterest revenue growth with 5% growth in commissions and fee income across all regions and a particularly strong contribution from our trade finance business. The deposit base remains strong throughout the entire year as deposits increased by €23 billion year-on-year, driven by higher site deposits in corporate treasury services and favorable FX movements. Provision for credit losses stood at €23 million, significantly lower driven by a larger recovery. Noninterest expenses were higher, driven by the RusChemAlliance Alliance litigation matter while adjusted costs decreased by 6% year-on-year, driven by lower direct costs and internal service cost allocations. This resulted in a post-tax return on tangible equity of 7.1% and a cost income ratio of 81%. I will now turn to the Investment Bank on Slide 21. Revenues for the fourth quarter were 30% higher year-on-year on a reported basis with strong growth across the franchise. Revenues in fixed income and currencies increased by 26% with year-on-year improvements across all businesses. This represented the highest fourth quarter revenues on record. Financing revenues were significantly higher, reflecting strong fee income across the business, combined with an increased carry profile. Rates revenues were significantly higher, while its credit trading, foreign exchange and emerging markets increased benefiting from heightened market activity and client engagement. Moving to Origination & Advisory, revenues were significantly higher both year-on-year and sequentially with market share gains across business lines in a growing industry field fee pool. Advisory revenues were significantly higher, reflecting material market share gains year-on-year in a static industry fee pool. Debt origination revenues also increased and reflected strength in leverage debt driven by strong pipeline execution in an active market. Noninterest expenses were lower year-on-year due to the nonrepeat of a goodwill impairment in the prior year quarter. Adjusted costs were essentially flat when excluding the increase in U.K. bank levies mentioned earlier. Loan balances increased compared to the prior year, driven by the impact of FX translation, combined with growth in financing. Provision for credit losses was €101 million or 37 basis points of average loans significantly lower year-on-year due to the non-repeat of Stage 1 and 2 model-related provisions in the prior year, while Stage 3 provisions also decreased. Let me now turn to Private Bank on Slide 22. The Private Bank is making progress both in creating revenue momentum and putting transformation-related costs and transitory credit costs behind us. Revenues of €2.4 billion in the quarter reflect noninterest revenue growth of 6% year-on-year on the back of higher investment product revenues. NII declined by 5% driven by continued higher funding costs from the impact of minimum reserves, the group neutral impact of certain hedging costs as well as a benefit from episodic lending revenues in the prior year quarter. Excluding these effects, fourth quarter revenues in the Private Bank would have been up 6% year-on-year. Personal Banking revenues were impacted by aforementioned higher funding allocations and hedging costs, partially offset by higher deposit revenues. Wealth Management and Private Banking revenues were essentially flat as higher investment product revenues and lending growth was offset by the nonrecurrence of episodic lending revenues in the prior year. The business attracted net inflows into assets under management of €2 billion, supported by deposit campaigns in Germany. Outflows in investment products were mainly driven by specific and isolated client transactions. As outlined in the third quarter, we see cost savings coming through as the Private Bank continues its transformation with a further 74 branch closures in the fourth quarter, bringing the total to 125 this year and accelerated head count reductions of more than 1,300 FTE in the past 12 months, mainly in Germany. The substantial improvement in adjusted cost of 9% reflects the benefits from transformation initiatives and lower regulatory as well as client service remediation costs, which are now effectively behind us. Noninterest expenses declined by 5% year-on-year despite higher restructuring and severance costs. Provision for credit losses reflects continued workout activities on a small number of legacy cases in wealth management, while transitory effects from operational backlog are taping off as expected. The overall quality of our domestic and international loan portfolios remains solid. Let me now turn to Asset Management on Slide 23, which reached a key milestone during the fourth quarter by surpassing €1 trillion of assets under management for the first time. Scale is becoming increasingly important in this industry and for the DWS franchise, favorable market trends support our strategic positioning, especially given our strong position in passive products. And a usual reminder, the Asset Management segment includes certain items that are not part of the DWS stand-alone financials. Profit before tax more than doubled from the prior year period, driven by higher revenues. Revenues increased by 22% versus the prior year. This was primarily from higher management fees of €647 million from both active and passive products driven by growth in average assets under management. Additionally, performance fees more than doubled from the prior year period, primarily due to the recognition of a substantial multi-asset performance fee. Other revenues principally reflected a negative revaluation of the fair value of guarantees and lower investment income, partly offset by lower treasury funding costs. Noninterest expenses and adjusted costs were both essentially flat compared to the prior year. Passive products continued their strong performance driven by X-trackers with a further €14 billion in the quarter, contributing to €42 billion of net inflows for the year. Cash alternatives, quantitative solutions and multi-asset also achieved good results with combined net inflows of €6 billion more than offsetting net outflows in active equity and fixed income products. Assets under management increased by €49 billion in the quarter, driven by positive FX effects and net inflows. The cost-income ratio for the quarter declined to 67% and return on tangible equity was 21%, both improving from the prior year quarter. This morning, DWS communicated its outlook for 2025 and introduced new medium-term strategic targets, including 10% earnings per share growth per year from the starting point in 2025 to 2027. For further details, please have a look at the DWS disclosure on their Investor Relations website. Moving to Corporate & Other on Slide 24. Corporate & Other reported a pretax loss of €621 million this quarter, driven by the provision increase for foreign currency mortgages of €329 million, resulting from updates to the provision model parameters to reflect impacts of recent developments in the estimated cost of the legal risk. This compares to a pretax profit of €104 million in the prior year quarter, which included a provision release of €287 million relating to legacy litigation matters. Revenues were negative €99 million this quarter, primarily driven by retained funding and liquidity impacts. This compares to negative €64 million in the prior year quarter, with the decrease driven by valuation and timing differences, which were positive €87 million in the quarter compared to positive €143 million in the prior year quarter. Pretax losses associated with legacy portfolios primarily reflect the aforementioned litigation matters. At the end of the fourth quarter, risk-weighted assets stood at €34 billion, including €13 billion of operational risk RWA. In aggregate, RWAs have reduced by €6 billion since the prior year quarter mainly reflect a change in the allocation of operational risk RWA. Leverage exposure was €38 billion at the end of the quarter, slightly lower than the prior year quarter. For 2025, we expect a significantly lower pretax loss for Corporate & Other of approximately €200 million per quarter or €800 million for the full year, mainly reflecting the nonrecurrence of legacy litigation matters. As usual, this includes some uncertainty, particularly associated with the valuation and timing differences. Finally, let me turn to the group outlook on Slide 25. We believe we are on track to deliver increased revenues of €2 billion to achieve this year's revenue growth of around €32 billion, which translates to around €32.8 billion at year-end FX rates. We remain committed to rigorous cost management and we'll manage our cost base to a cost income ratio of below 65% for 2025. Although this is higher than the level we were previously aiming for, we feel good that the level of investment in 2025 positions us for incremental opportunities and higher returns over time while also further improving our control environment. We continue to expect an amelioration of provision for credit losses in 2025 as the transitory headwinds we called out previously subside. This should result in a reduction to around €350 million to €400 million of average quarterly provisions with further normalization expected in the following years. Our strong capital position gives us a solid step off for our 2025 and 2026 distribution of [audio gap]. We remain committed to our capital distribution target. The €750 million share buyback announced today and the dividend of $0.68 per share, which we plan to propose at our Annual General Meeting, brings us to €2.1 billion of capital distributions so far this year. Our full attention remains on delivering an RoTE of above 10% in 2025 driven by continued revenue momentum, cost control and balance sheet efficiency. And these are the levers to also deliver further improved profitability beyond 2025. With that, let me hand back to Ioana, and we look forward to your questions.
Ioana Patriniche: Thank you, James. Operator, we're now ready to take questions.
Operator: [Operator Instructions] And the first question comes from the line of Nicolas Payen from Kepler Cheuvreux.
Nicolas Payen: I have two questions, please. The first one would be on revenues. And could you elaborate on the bridge to €32 billion of revenue target, please? And in particular, what gives you confidence that you can reach €32 billion and how the start of the year position you towards these targets? The second question will be on share buyback. You previously alluded to a share buyback annual growth of roughly 50%, which would put you at €1 billion share buyback versus the 750 that you announced. So the question is, can we expect more throughout the years and at what point in time during this year? And also, what are the performance criteria that you're looking at to potentially announce more?
Christian Sewing: It's Christian. Let me start with your questions, and then James can obviously contribute. Look, what makes us confident is, first of all, the overall positioning and foundation, which we have built over the last 4 or 5 years as a Global Hausbank to our clients, the momentum -- the development in all 4 businesses, feedback from clients. To be honest, in all the last 3 or 4 years, we not only met our revenue targets, but even exceeded that in the years really makes me confident that from the offering we have from the positioning we have is actually the right starting point also for the next years. And that feedback, Nicolas, we get continuously back from our clients, be it institutional clients, corporate clients and private clients. And let me also say that, in particular, the geopolitical items which we are facing in this world, in this regard, to be honest, support us, people want our advice. Corporates talk to us on their amended networks. So the mandates we get from the corporate side, from the institutional side, is, again, something which really makes me confident and is on a level which we haven't seen before. Now to the bridge from €30.1 billion, to be honest, to €32 billion. What makes me confident and how do we see that? I would really kind of divide that in three parts: Number one, it's €400 million coming from NII, and that is obviously reflecting the hedging which we have already put in place. This will, in particular, come from the PV and the CV side. And on top of that, we see also the growth in our fixed financing. So that is approximately €400 million, which we will see also the good work which we have done on the treasury side with our business. So that is locked in. Now the next thing is, and we always talk about, so to say, the more predictable business we see approximately €800 million, if not even a bit more, from the more predictable business. And that, in particular, is the Private Bank, Asset Management and the Corporate Bank. Now in those, you have approximately €400 million from the Corporate Bank. That, again, comes from active repricing monetizing our existing clients, scaling the business which we have invested in. If you look into our investment, which we have done in '23 -- in '24, but in particular, looking at the investment plan for '25, a high degree and partially the highest amounts in those years and in particular, in 25% goes into the Corporate Bank to really scale up our offering. And you have seen the overall development of the corporate bank, which is at the core of our franchise. And therefore, I can see at least this €400 million of uptick in the year 2025. And again, if I look at the mandates, which we are constantly winning how the year started, I'm very optimistic here. The other €400 million is in particular coming from the PB and asset management side. And here, a lot of prework has been done. I think in the prepared remarks, we talked about the growth in the assets under management on both sides, the private bank and the asset management side. So obviously, with the fees generated out of that, we will see higher returns. There is no drag on the NII side. I talked about the initial €400 million. So therefore, we can clearly see with the increased volume, higher revenues. Last but not least, I also said that in the discussions before, which we had on a quarterly side, there is a lot of momentum also in Germany, actually in the retail bank I think Germany, one of the biggest problems and challenges we have is actually with our pension plans in the next years. And more and more, this is -- these are the discussions, which we have with our clients. And again, then applying that to 15 million Postbank clients now being on our IT platform is a huge opportunity for us and [indiscernible] is banking on that. That brings us those €2 billion to €1.2 billion. So you are kind of at €31.2 million, €31.3 billion. Where is the rest coming from? €500 milion to €600 million, in particular, in the Investment Bank from the O&A business. I think James and I talked a lot about that over the last 18 months. We did on purpose the investments in the middle of 2023, not only Numis, but in particular, also the hirings of senior directors in the Corporate Finance business. I think we could show with the growth rates in 2024 that this started to pay off. I'm really proud what [indiscernible] has done in that business. Look at the Q4 numbers in the O&A business. We clearly outperformed the market. And I can see that this momentum is going on. So we believe that actually in the O&A market, we can increase our market share by approximately 50 basis points to approximately 3 percentage points. And then I also do believe that actually the fee pool, in particular, given what is happening in this world with the growth momentum we see in the U.S. will be higher next year. But the real impact the majority of the €500 million to €600 million is clearly coming from now that the investments are fully paying off and that we increase our market share. Now that already brings us almost very close to the €32 billion. I haven't talked about the FIC business because, obviously, in particular, [indiscernible] is not standing still. We have done significant investments, in particular, in Latin America, but also North America in our business. watch the credit trading business, also with the recent hires, which we have done summer last year and obviously, which we are paying off more and more. And therefore, I do believe that we have also a chance to grow there. So in this regard, that is the bridge for us from €30 million to €32 billion. Obviously, the confidence level, which James and I have and Fabrizio and Claudio is also sparked by a first good month. Now we know we cannot rest here, 1 month is 1 month. But the overall momentum in this bank to drive this, the feedback from the clients also last week in Davos is clearly telling me this is achievable, and I'm sure we can show you that already at the end of April. Second part on the share buybacks. Look, I do believe that James and I have also -- have always managed this bank in a prudent and conservative way, i.e., in particular, to your question, €1 billion to €750 million. First of all, I'm really happy with the starting point in which we start into this measurement here of 2025, 13.8% capital ratio gives us actually the ammunition, on the one hand, to grow business and have the right resources. That's all in our plans. But at the same time, obviously, also reward our shareholders. With the €750 million, which we announced and we should not forget that the 50% increase in dividends, we actually announced to the market already a distribution of €2.1 billion for this year. I think it's a wonderful starting point. And actually, if you move that up, we are now at €5.4 billion. If we think about our past, which we gave to the market in particular with regard to growing our distribution and also the dividends and you apply the next increase on the dividends for next year, you are already very, very close to the €8 billion. Now I think -- and that's what our approach is. Let us deliver on our business execution in the next month to deliver the 10% return on equity. Of course, we will review our distributions in the course of the year on the basis of our performance as, at the end of the day, we know that we also want to reward the shareholders, but I think it's a good and prudent start into the year. And let me end also with one thing, absolute confidence that we will do that what we promised to you to distribute more than €8 billion in the years '21 to '25, including the payouts in '26.
Operator: The next question comes from the line of Anke Reingen from RBC.
Anke Reingen: I just wanted to ask about the costs. Can you please talk a bit more about the increase in your guidance of the adjusted costs to €20.3 billion. I mean how much of this is a function of your revenue expectations in 2025? And how much is this reflecting future investments? And then on the -- how should we think about it at the divisional level on how the higher cost base comes through in terms of -- also in terms of the cost-income ratio target and in comparison, you previously provided cost-income ratio target at your previous Capital Markets Day. And then just the 62.5, is that now a target that's not in reach? Or does it remain a longer aspiration, something you might potentially discuss in the course of the year. And then last question, I mean, obviously, this is a bit of a disappointment on the Q4 performance. What should give us the confidence that Q4 2025 doesn't give us a similar disappointment. And then that aspect, I think the nonoperating costs at the €400 million looks relatively low. So if you can give us a bit more confidence that really the costs, I mean ignoring FX effects you will be able to deliver them.
James Von Moltke: It's James here. A lot to talk about, but all the right questions on the cost side for sure. So let me go in a little bit of a mixed order. On the nonoperating costs, look, start with restructuring and severance. We have a significant amount sort of I don't know practically all, but we've come such a long way in terms of the transformation of the company that there is not a great deal left to do, and we control that number. When I say not a great deal, there's still some work that Claudio and his team are doing on the private bank, you've seen that. But of course, we've taken some into Q4 to enable us to take some actions already in 2025. But for practical purposes, we're through the major transformation of the company. On the litigation side, the way I think about it is that there's a funnel of matters that can result in outflows in any given period of time. And that funnel is simply emptied. Now not in the right way. Obviously, in 2024, we had some surprises and there can always be unknown unknowns. But of the known items, the funnel is simply empty or [indiscernible] empty and the risks that we can see are remote, both in terms of time and likelihood. So we feel really good about the trajectory now on the normalization of nonoperating costs, and that counts -- that goes for Q4 next year. Obviously, we're -- we have every incentive not to deliver another quarter in which there's a kind of a messy Q4 -- another year in which there's a messy Q4. If I go to the Investor Day numbers, and this goes all the way back to 2022. But there actually, I see really good progress. So if I look to the business sort of plans for this year or the business cost income ratios in our plan, really encouraging progress. Now these weren't formal targets, but definitely a guide for you. And we see the -- both Corporate Bank and Investment Bank within the range. Corporate Bank may be towards the high end of the range, Investment Bank towards the middle of the range and asset management also very, very close to the top end of the range. So really good progress in those businesses. The Private Bank at this point will clearly be above the range. But actually, the underlying performance of the Private Bank is very encouraging in absolute terms are coming in very close to what we had factored in at the time. But there carrying the burden of really two things that some of where the incremental investment of controls and technology has gone in the years. And also as we've refined our internal cost allocations, you remember we've talked about driver-based cost management, it's tended to be shifted some of the expenses to the Private Bank. So overall, we're encouraged by what we see and there's still work to do. We don't think the trajectory for the businesses or the group ends with 2025. That gets me to your second -- to your third question, sorry. No, we're not cashiering the 62.5 forever. We think that the operating leverage that we've built and will continue to see in the company will take the cost income ratio further down in the years to come. And so we absolutely think that, that is within reach of the firm, but not in 2025. And so that then gets you to what has driven the costs up to the -- our current view of 20.3 on the old FX. Look, it's a bunch of drivers. And again, cumulatively, since the last Capital Markets Day, I would probably bucket as 1/3, 1/3, 1/3. It's sort of €600 million or €700 million over that time, if you express it in cost/income ratio terms and about 1/3 has gone into business investments, about 1/3 into control and the further 1/3 into technology, if I give you rough rough numbers, probably a little bit more weighted towards technology in that math. Now you've seen us make those decisions. And as we said in the prepared remarks, we think they are the right decisions for the company. Controls are the license to operate. And back in '22, we relatively quickly recognized we needed more investment to close out the control improvements to meet our own expectations and those of the regulators and that investment has continued. On technology, that's been sustained over the past several years. And as you know, our business very much competes on the technology that you can provide across a whole range of activities, including the client experience. And we think it's the right decision, therefore, to continue and sustain that investment. On the business side, this really goes back to the 2023 investment opportunity we saw particularly in the investment bank at the time. And we like how that investment is paying off and will pay off in the years to come. And so it's, if you like, the cumulative impact of those things that have carried into the costs for this year, if you're in the deep detail of why now and what wasn't visible to us last year, look, as we went through a planning cycle I would say, in addition to all of the above, inflation has run maybe $100 million in express just in '25 terms, higher than we might have have expected at the time. And as I say, so cumulatively, those are the drivers that have driven us to where we are now. Again, a lot of that has been offset by the very good work we've been doing under Rebecca's leadership on the efficiency program. And as Christian mentioned in his remarks, we've made enormous progress towards the €2.5 billion goal in terms of cost takeout, and there is more to come thereafter because I said in the last call, it's like peeling an onion, we see more opportunity as we get deeper into the transformation and deeper into some of the process improvements that we make.
Christian Sewing: Sorry, Anke, just -- I mean, 100% support, what James is saying. Just to reiterate that, obviously, below 65 is not our endpoint. And for that, I simply also wanted to refer to Page 9 of our prepared remarks where, obviously, we are now thinking with all the investments we have done, what the outcome is. That goes beyond the €2.5 billion, which Rebecca is managing. But also here on purpose, obviously, we gave you a little bit of an outlook. So clear dedication and goal by the bank to go lower.
Operator: The next question comes from the line of Kian Abouhossein from JPMorgan.
Kian Abouhossein: I just wanted to come back to the cost line. So we should really look at €21.2 billion, I would say, is more realistic number. And in that context, can you just tell us what it also means in terms of revenues impact? Is it around I guess, €400 million roughly as well or slightly more, I assume? And in that context, can you talk a little bit about your ambition in Mittelstand? And if you have factored anything for expansion Mittelstand considering this clearly some opportunities in Germany with 2 banks potentially targets in terms of Mittlestand growth from your perspective? And can you talk about what you're actually doing on the ground to grow there? Lastly, within cost and apologies it's clearly a big topic, flexibility on cost of asset before, but clearly, there's a higher cost guidance, that's a topic that we get a lot of questions on. If you can talk about flexibility in case you don't get the €32 billion plus. And if I may just ask on last question on Page 9, on your return on, I guess, risk-weighted assets by business where you give kind of the profit to risk weighted assets, very interesting chart, clearly. And I'm just trying to understand what are the big buckets which we should look at in terms of underperforming businesses, so we understand what the opportunity is.
James Von Moltke: Great questions again, lots to go through there. Let me start on the easy stuff, and I'll give the harder questions. The FX impact, you're absolutely right to draw attention to it because what we wanted to do in our presentation was give you numbers that are consistent with what we've talked about for the past year. And hence, the presentation is largely -- is presented in what we would call plan FX levels, where euro-dollar was around [indiscernible]. And then we give you the translation into December FX, which was about [indiscernible]. And so that difference and creates on the revenue side, a number where $2 billion translates to about €32.8 billion. And on the expense side, as you say, 20.8 translates to 21.2. In the relationship between euros and dollars, dollar strengthening actually helps our margin just a little bit. And here, I refer to you to the currency breakout of revenues, expenses on Page 36, where you can see that there's a little bit of asymmetry in dollar euro, where we have more revenues than expenses expressed in dollars, and that drives, therefore, just a little bit of FX improvement on the margin. Now that relationship will change over the course of the year. So we'll continue to give you reporting that shows the year-on-year variances created by FX. One of the reasons we're talking about absolute numbers is always challenging given that change. And just to complete the picture, in case the question comes up, we do hedge the sterling risk. You'll see that there's also an asymmetry in sterling. We hedge that forward. It's rolling, so it's not forever. But the euro-sterling currency differences don't really change the in-year number is a great deal. Kian, you had a follow-up?
Kian Abouhossein: No, I'm fine.
Christian Sewing: Looking on the Mittelstand [ph] Germany -- sorry, I was on mute. On the Mittelstand, Germany, a very good question. Look, there are 3 or 4 areas where we are obviously enhancing our business and also making sure that our portfolio with the Mittelstand not only growing, but the profitability of the portfolio, like indicated by the way, on Page 9 is further improving. Number one, we are going through this portfolio also from an SBA point of view. Clearly, one where we can do better, where we have done already action. And in particular, here, where our underlying process, which is also part of Page 9, i.e., how do we set up this bank front-to-back processes in the lending business making sure that we don't have different processes for the various financing or payment flows that we are streamlining this. This is one area where actually a lot of investments of the Corporate Bank going into the setup into the platform and the streamlining the German setup. So it will add just from an efficiency point of view, we will see a very positive impact there. Number two, of course, with the focus on the corporate bank in 2019, we also -- and I can say that here also with a little bit of pride, we absolutely regain credibility and trust in the German home market. And if I look at our market shares in not only obviously the DUCs company, but in the Mittelstand, be it the bigger family-owned companies, the Mittelstand itself, but also in the small business areas, we have actually gained momentum. We increased the revenues because the clients are feeling that Deutsche Bank wants to do that business. That was different before 2018. And with the constant improvements also process-wise, we obviously succeed. Thirdly, we have invested into our coverage. For Germany, if you want to really bank it in the best way, you need to be regionally. We have invested into our people here in order to make sure with the right coverage. And fourthly, yes, you alluded to that. Now obviously, I'm not talking in detail about that, but each situation in the industry is providing a huge opportunity. There is uncertainty in the market, you know what I'm talking about. And that obviously is a chance and opportunity for us, and we have started to work on this, and I'm sure more to come. So Mittelstand, Germany, is from a profitability point of view, efficiency point of view and from a growth, absolutely a focus. And let me also say, because I'm sure I'll get the next question, but we are not doing that at any price. We also need to take into account the situation, the economy. And therefore, we will not alter our underwriting standards because that would bite us and therefore, we keep the underwriting standards which we had. But doing this, we can see a clear growth here at home.
James Von Moltke: Kian, maybe just very briefly on you're pointing to Slide 9, the chart on the right. It's what we can now work with over the next several years in a more fine-tuned way than previously, with each of the businesses looking at the drivers of their SBA or profitability against the resources that they deploy. It means we can grow revenues through things like repricing and just business growth. We can manage the expenses down, leveraging some of the tools we've built over the years, including driver-based cost management. And we can also work with the businesses to reduce the capital burden and there the efforts we've gone to create resources efficiency on the RWA side is also helping. To give you an example of where we are using these tools to make decisions, we talked about the mortgage product and especially in our home market and the deemphasis over the past couple of years of that product. It's part because at various prices, the product didn't meet its hurdles. Middle market lending equally in Germany is something we need to improve the profitability of, as Christian says, it's strategically critical. It needs to sort of carry itself from a profitability perspective as well. There are other portfolios all around the company that we're working with the businesses very closely on. And the level of engagement in this work is extremely high, which is -- which gives us a lot of optimism about how these levers can be pulled over the next several years to drive a very significant impact in bringing each of the units up and also the average.
Operator: The next question comes from Flora Bocahut from Barclays.
Flora Bocahut: The first question I wanted to ask is actually a clarification, regarding the buyback, the €750 million that you announced today, just to understand when you intend to launch that buyback. Are we talking just a few days? Or are we talking several months before this gets launched? And then on the questions, first is actually coming back to the CET1 trajectory and distribution plans. And thank you, Christian, for clarifying how the performance is going to play into potentially more distribution. But I also wanted to draw the attention on the regulatory risk here because my understanding is that the Basel IV first time implementation is now expecting to cost you just €5 billion additional RWA, so not the €7.5 billion that had initially been guided. Obviously, this discussion ongoing on whether FRTB implementation in Europe is going to be delayed. I know no decision has been made yet, but assuming this would get delayed by another year, could that mean also upside risk to your distribution plans for 2025 beyond the actual performance itself? And then a word on provisions that we haven't discussed too much yet. I think the guidance you provide for 2025 points to €1.4 billion to €1.6 billion of provisions. Consensus is right in the middle at €1.5 billion. So just if you could discuss where is the risk on that number, whether to the upside or the downside, what gives you the confidence, the visibility on that number with a special word also, if you can, on the U.S. commercial real estate portfolio, especially U.S. offices after the Fed is more likely now to keep rates higher for longer?
James Von Moltke: Also great questions. And for the others, I won't say great questions again. So don't be insulted if I don't repeat that. So briefly on the start of the buyback program. Look, every year, we start with the buybacks that offset employee share deliveries against previous year compensation. So it actually takes a little while until we complete that and so we would only start the €750 million once that is done. It takes a little bit of time, but we're in the market really for most of the first quarter with the former buyback. As is last -- was the case last year, I can see some of this amount slipping into the early part of Q3, but we would expect to get the bulk of it done earlier than that. On the -- I'll talk about the trajectory on CRR3. Look, it's more or less where we thought it'd be. And yes, there are a bit still to come. So there's a bit of a round trip in the first quarter. Because in the technical details of CRR3, the OpRisk RWA doesn't hit you January 1, but only really moderately first. But the net number of about 15 basis points down, there's a -- it's about 5 basis points up in our estimates on January 1 and then 20 basis points to come on OpRisk RWA. There are some modest adjustments also in and credit risk that come into it. That trajectory is encouraging. But as Christian says, we need to kind of seeing how the year develops and actually, the calculations are relatively new and fresh. And so it will take time for the systems, the models and what have you to settle a little bit, and we'll be back to you. On FRTB, that is an opportunity. Naturally, we need to plan with the expectation that, that will be implemented in January of next year, and we would stick with the estimate of around really €7.5 billion of impact in RWA from the first of the year, '26. I think there's a decent likelihood it will be delayed just because I think we all believe and so does some of the legislators that creating a competitive disadvantage for the European banks in this area, waiting until FRTB implementation comes to the United States and the U.K. would be unnecessarily damaging. And hence, we do think that's an opportunity. And at a point in time where it's more certain, it can enter into our capital trajectory and thinking. I would add that there's some other potential changes in our requirements going forward that can impact, say, MDA. And then lastly, on CLP, it's a relatively wide range. I think if you asked us today, we'd probably stay closer to the top end of the range, given that we still have to see, as you say, commercial real estate, the moderation take place, we're looking at the domestic middle market portfolio, as we've talked about in the past, in the economic environment that's still uncertain. But we do and hence, the confidence about moderation, we do think we're at the back end of this credit cycle. So from what we see today, we're quite confident about the improvement. €1.6 billion, so the high end would represent about 33 basis points, which as you know from our prior years and also prior guidance, would be relatively at a higher end for us. But obviously, there's a lot still to kind of water to pass under the bridge between now and the end of the year. Hopefully, that covered all your questions, Flora.
Flora Bocahut: Yes. Can I just clarify when you just said that the CLPs could be closer to the top end of the range, you mean €1.6 billion?
James Von Moltke: Yes, the 400 on a quarterly basis, look, I think a little bit like last year, we would expect maybe to start -- the first quarter or 2 at the higher end and then ameliorate as the year goes by. Again, we'll have to see how that plays out both in each of the quarters and the year. Hence, we gave you quarterly guidance rather than the full year, but just the widest end of the range, therefore, would be the -- ends of the range of €1.4 billion to €1.6 billion. Incidentally, actually, just to come back on one thing, Flora, you're right. We looked at the consensus and really consensus is in line with our guidance and thinking on most line items, of which credit loss provisions is one. Obviously, the cost is another prior to any adjustment for FX, as Ken pointed out. And the gap is really on revenues.
Operator: Next question comes from the line of [indiscernible] from Morgan Stanley.
Unidentified Analyst : First, a clarification, James, I think I heard you saying potential changes in requirements that can impact MDA? Can you elaborate on this, what do you mean did I understand it correctly? And then secondly, on the Private Bank on Slide 4. I appreciate you are on the journey but still 5% ROE is still incredibly low. What -- for retail bank in Europe, it should be at least be double. What do you have in mind? And what complete actions are you taking to significantly boost the RoTE here?
James Von Moltke: So Julie, I'll start with the first on MDA and Christian will talk to the private bank. Look, MDA, right, has gone up for us to around a little bit over 13.3%. And that, therefore, drives our views on the level of CET1 that we need to run at with an appropriate buffer against that. And of course, the 13.8% is a good place to be in that regard. There will be some changes, as we talked about FRTB denominator impact, but also potentially some changes in MDA. One example would be our OSII positioning might take a year. But given our relative score in terms of G-SIFI ness, call it, we would expect to be coming down in our G-SIB over time as an example. The second is inside our numbers, you have the mortgage sectoral buffer, which is already -- which is also impacting how we're capitalized. So my point is that the level of capitalization that we operate at now and the gap to MDA that's implied by it is a conservative point, let's put it that one on both numbers.
Christian Sewing: On the private bank, first of all, you're right. I mean, a 5% RoTE, obviously, not sufficient at all. But therefore, we are doing this full transformation. And by the way, if we digest and really divide the private bank, the real challenge, which we are working on in Retail Germany. Now when you look at the levers, first of all, at the start, we see a good revenue momentum in the private bank, by the way, also in Retail Germany. So overall, the private bank will go by approximately €400 million year-over-year. Secondly, one of the largest cost takeouts also in absolute numbers is next year again in the Private Bank in Germany or that what James also said, where we put restructuring costs for the further fallout, so to say, in a positive way from the IT technology transfer from Postbank to Deutsche Bank is paying off. So also there from a cost point of view, it's another and not only low 3-digit million number where actually, Claudio is reducing costs in the private bank. And thirdly, James gave you another example from an RoTE point of view, we have certain portfolios or some portfolios in the private bank, where from an SBA methodology, we are simply not rewarding our shareholders. And at the end of the day, our capital in a sufficient way. And that is the third lens where with repricing, but also with reallocating capital, we are improving the picture. One bit only that you also see there is full attention on, and we are working on it. If you just look at Q4 2024 and you look at Claudio's private bank costs versus Q4 2023, we had a reduction of 9%. That shows you that there is full focus on that transition that we know we need to get the cost down. The plans are there. Implementation is underway. But fortunately, it's not only that, it's revenues and SBA.
Unidentified Analyst : Can I just follow up? What is the difference in ROE between Germany and the rest within the Private Bank?
Christian Sewing: It's in particular from a legacy point of view, the structure of the platforms, the IT platforms we have. So as we did, fortunately, the transfer of the IT last year or in 2023 from Postbank to Deutsche Bank, we are, again, in a constant way, obviously, pulling off applications, closing applications, then we have, obviously, from a simply location point of view, we have the largest number of branch closures. Obviously, also the largest numbers of people where with streamlining the processes going more into a digital offering, in particular, in the retail bank. You see most of the transformation and also the efficiency gains in the Private Bank. So Germany, in this regard from the legacy point of view, system, location, branches, integration of Postbank is in this regard, the one where most of the work is on.
Unidentified Analyst : Got it. But I was only just on the ROE number between Germany and the rest within the Private Bank?
James Von Moltke: We don't publish that number, but I mean, the Wealth Management and personal banking -- and private banking is double digit. So it is we can definitely converge in -- well into the double digits as we address the issues that Christian just alluded to in the German retail personal banking segment.
Operator: The next question comes from the line of Chris Hallam from Goldman Sachs.
Chris Hallam: Just two, I guess, sort of modeling questions left for me. Firstly, on the growth in FIC, so if I take the guidance, the €200 million or so growth that you're guiding to for FICC in 2025 how does that shake out in terms of financing versus nonfinancing? If I look at solid performance in Q4 financing revenues, if I just sort of run rate that through 2025, that's obviously imperfect, but that would sell for effectively all of the €200 million increase year-over-year in the guidance. So just any kind of color you can give in terms of FIC growth on our line line basis? And then secondly, deposit growth was quite strong in the Private Bank in Q4. So what are you assuming in terms of deposit growth in 2025 within that €300 million banking NII guidance?
James Von Moltke: So Chris, the FIC financing revenues are in the more predictable revenue stream bucket, so the 40% in Christian's Slide 7, so contributing to that €800 million. FIC market, to your point, would be the €200 million or €300 million of contribution in the -- in what we characterize as the remain revenue streams. In FIC financing, however, there's -- as you know, it splits between carry and revenues. We're quite encouraged given the 12% growth we had now just in the fourth quarter about our ability to continue growing that revenue stream. So it should do at least €100 million, maybe some more in NII and then earn additional fees, I would think, fee growth. But just to clarify, in the buckets, the rest of FIC markets, so rates, credit and emerging markets would -- and FX would be the balance of the remaining revenue stream number. In terms of deposit growth, we've seen quite strong deposit growth. And actually, what's been encouraging is it has shifted back into site deposits from term. And that's, as we talked about, being helpful for the margin on the deposit side. We are expecting considerable growth in both of the deposit businesses in 2025. I can't give you precise numbers. But we see liquidity in the marketplace and the ability to put on liabilities at attractive prices and SBA. The one caveat I do want to mention, though, is we talked last quarter about a couple of relatively concentrated deposit levels. So we're sort of -- as those wind down, we are offsetting the runoff of a couple of concentrated deposits. And hence, you'll see the net of those 2 in the numbers over the course of the year. Also Q4, as we had a year -- actually 2 years ago, represents a relatively high print. So I would see us sort of recovering to the Q4 level over the course of Q1, maybe into Q2 and then more of that growth flowing through into the back half of the year.
Operator: The next question comes from Stefan Stalmann from Autonomous.
Stefan Stalmann: I would like to start with the strategic question, please. There's quite a lot of M&A activity these days in European Asset Management between BNP and [indiscernible], Texas and [indiscernible]. Does that change anything in the way that you look at your asset management strategy, please? And then would you actually be willing to consider M&A? And then just two number questions, please. The first on market risk-weighted assets. From what you say about the trajectory in the fourth quarter, it seems that your market risk-weighted assets must now be around €19 billion or maybe even a bit lower, which I think is the lowest level since you started disclosing this. Is there any possibility that this is snapping back? Or is there something more structural at work here? And finally, you mentioned not only this time, but also previously that you have benefited from credit hedges. So some of your credit loss provisions have been offset by revenue elsewhere. Can you maybe give us a rough sense of how much revenue was actually generated from these hedges in 2024, please? And in which line items which revenue line items, we would find them.
James Von Moltke: Thanks for the question, Stefan. Just briefly, we love our asset management business. We think DWS is really well positioned in today's markets. And having now exceeded the €1 trillion or dollar level, we can see that it has scale and profitability and also growth prospects. And so while we obviously see what's going on strategically in the market around us, we think we're well positioned. On the market risk RWA side, you're absolutely right, $19 billion is correct and it represents a relatively low level. Two reasons. One is year-end is often just like seasonally below. And secondly, you will have seen in the VAR numbers relatively low VAR, some of which reflects the volatility in the market and not so much the book. And hence, we would expect some amount of recovery, if you like, or an increase in market risk RWA during the course of the year. As it relates to the credit hedges, I need to double check the number, but it's sort of orders of magnitude around $100 million, a little bit more, I think, in the businesses, mostly reflected in remaining income in the businesses. And some in interest income. So a bit of a split depending on whether you see it in the investment bank or the corporate bank. And those hedges, we've talked about, I think, $42 billion of total sort of, if you like, hedges. Those hedge volumes, we well, we'll look to grow from here given what we say, I said about SRTs and the market availability. But these are ongoing programs that we have. So you can assume that type of protection and probably growing from here. Going forward, we manage concentration risks as well as capital usage with instruments.
Operator: The next question comes from the line of Andrew Coombs from Citi.
Andrew Coombs: Two, please. follow-ups. Firstly, you said that there are 2 areas of investment in your earlier commentary. One was the tech controls and remediation. The other was growing the franchise beyond the initial revenue ambitions. And I think you have given us a few points of where that has been over the course of the call, but perhaps you can just give more granular examples of which areas you have expanded beat on your initial ambitions. And given you haven't changed the revenue guidance the $25 million, but you have the costs, what is the payback period on those investments. Do you think you're going to see that come through in '26, '27, that would be useful. And then my second question is just on that revenue bridge. Thank you for the very granular answer you gave earlier around the core divisions and see how that adds up to €2 billion. But at the same time, James also gave guidance on the corporate center or €200 million loss per quarter, which would see suggest you would have much lower revenue contribution from the corporate center, given how much that contributed in Q2 and Q3 of '24. So what's the offset there?
James Von Moltke: Thanks, Andrew. I think it was slightly distinct the line, but I hope I caught everything. So in reverse order, the corporate center, and I think something interesting to point out on Page 5 of the deck, we talked in earlier quarters that there can be some volatility that's created by the corporate center. But I'd said at the time that it ultimately typically nets to 0 over the course of the year. And that was the case in '24, and we expect it to be the case in '25. So at the very bottom of the chart on the left, you can see that's our current expectation, but some of it is hard to predict, given, for example, valuation and timing differences are market related. But hopefully, that's a good indication. On the cost side, the walk I gave earlier to say it was about 1/3 of each of business investments, technology and controls was sort of a multiyear view going from our last Investor Day. More recently, what has been the places where we've put additional investment. I'd say the corporate bank, probably the first destination in terms of some plans that we've actually been working on for some time, but now have decided to implement, which is actually relatively broad-based in the corporate bank, but as an acceleration of some hiring and also technology investments that David Linn and his team have identified and are ready to execute and have begun the execution of -- in Private Bank, there are some technology investments that we had been kind of waiting to make decisions on, but feel are important to make, again, to keep pace with the industry where, as you can all see, in your own, I'm sure, personal lives, there's a bit of an arms race going on in terms of the capabilities for digital banking as well as some of the physical infrastructure there and then a little bit sort of a reacceleration of hiring on the RM side in that business. And then lastly, we've talked about O&A. We've -- I think we've largely completed the build-out of O&A, but there are a handful of additional hires that we've made and we've talked about also on the FICC market side, again, all of which we see as supportive of revenue, not just in '25, but in the years beyond. And so I just do want to emphasize that management's decision-making as we went through this most recent plan cycle has been not just about supporting performance in '25, but making sure we're building the company to be sustainably profitable and growing in profitability. In the years beyond, which actually one last thing to say. We look also at the 26 consensus where, as you can imagine, from the chart, especially Christian's Page 9 you can see an even greater divergence between what we believe the trajectory of the company is and what is currently in the consensus Mr. Coombs is still connected. Sorry, that last comment was indistinct. Can you repeat?
Operator: Next question comes from the line of Jerry Sigee BNP Paribas.
Jerry Sigee: I'll make it quick. Just on your ROE target, you're making the same ROE with heavier costs. I guess the offset is the balance sheet efficiency. So effectively less profit but less capital. Is that the right way to think about the math on that? And then secondly, we talked about in an earlier question, the possibility of delaying FRTB and Basel IV implementation. Do you worry about the risk that the U.S. actually cancels it or dilutes it completely? Would that leave you at a competitive disadvantage? Or is this now quite marginal for you as well?
James Von Moltke: Sorry, FRTB -- well, sorry, FRTB, look, we're -- there are a number of different aspects of FRTB, how many portfolios you put in standardized versus modeled how the models work and of course, when it's implemented, you have to assume that FRTB once implemented, will be relatively sort of consistent across the world. That's not a given necessarily, but it's a major assumption that we need to make. But -- so yes, we -- what we are concerned about is a disadvantage -- competitive disadvantage if it's implemented in Europe only, and not in the U.K. and the U.S., that's a situation that would create a significant sort of disadvantage for us.
Christian Sewing: Let me just chime in there. First of all, it was a good sign and good decision that there was a postponable by 1 year. actually, the level of attention at the EU commission when it comes to FRTB and providing a level playing field is higher than ever before. It's clearly on the agenda, not obviously of the banks but also of the EU commission. So obviously, I don't know whether at the end of the day, it will be implemented here and not in the U.S. But at least we have, in my view, a complete level of attention at the EU Commission to listen to us and to make sure that the level playing field is not lost on that point.
James Von Moltke: And to your first point about capital, yes, capital efficiency certainly helped. I mean it's a walk of revenues where we're significantly higher than where we expected to be when we did the IDD with you. actually, credit costs at this point in the cycle also higher than where we expected to be. Costs we've talked about and capital is more efficient. I will say AT1 coupons higher than where we'd assumed as well. So there are a number of different moving parts from the Investor Day 2 that we can trace through. But the capital efficiency was certainly a supportive lever.
Operator: Next question comes from line of [indiscernible].
Unidentified Analyst : Two quick questions from my side. I wanted to come back to Slide 16 and especially you look at the €900 million in investments and inflation. I was wondering if you could split that 900 to mandatory investments, it's regulatory or those you feel clearly necessary in the tax stack. You mentioned perhaps the private bank. And some of the discretionary investments into growth, be it the corporate bank, be it the -- that's number one. Number 2 is on loan growth. It seems like you're seeing some improvement in period-end loan balances both in the Corporate Bank and also in the private bank. Could you talk about what you're seeing in your business? Is this just a blip, we shouldn't read too much into it? Or is this perhaps the start of a turning point?
James Von Moltke: So the simple answer to your question is regulatory or sort of controls remained costs are most of, I'll call it, $200 million. year-on-year in the sort of mandatory bucket. And then there is some additional expense that are still around remediation control improvements that we would see as not mandatory and where there would be some flexibility potentially to push out in time. So a reasonably considerable amount of pressure coming from that. I mentioned inflation, the $100 million of inflation above our expectations, sits on top of inflation that has been running sort of $300 million to $400 million for the past several years. So there's a considerable headwind from those 2 items.
Christian Sewing: And on the financing side, we have seen the FICC financing, as also mentioned by James before, was actually a nice level of increase over 2024. We actually also see that going forward. That's clearly a business which we want to grow, I think where we have a competence like almost nobody else. And given also the international focus on this business, it's clearly growing. On the S and PV side, slightly down, excluding FX. Now on the private banking side, it is also an effect of that what we discussed before, i.e., the SVA methodology that we are not entirely happy with all subsegments of that portfolio James mentioned the mortgage portfolio, where we on purpose actually said we don't want to allocate that much capital Obviously, also the interest rate development in the run-up to 24 is obviously then also curbing demand a bit in Germany. And on the mid-cap side, -- at the end of the day, you see in this regard, a little bit of 2 different speeds. If you look at the loan demand of German corporates for investing in Germany, it's down. is clearly down, and that's also something which hopefully will be addressed when we talk about structural reforms, which are needed in Germany. But the other hand is that also German corporate is actually taking investments in order to invest internationally, that's clearly up. And that is, again, something where obviously we can position ourselves given our global approach.
Operator: [Operator Instructions] Next question comes from the line of Tom Hallett from KBW.
Tom Hallett: Firstly, I suppose I would have thought confidence around the €32 billion guidance would have increased given kind of what we've seen year-to-date and then the steepening yield curve. So was there a temptation to raise that €32 billion target by any chance? And then secondly, on Slide 9, your aspiration is meaningfully above 2024 level, okay? And I just kind of want to know what the drivers of that would be? Should I be splitting that between half profit at half kind of RWA optimization? How should I think about that?
Christian Sewing: Look, Tom, let me take the first question. look, our confidence in the €32 billion, obviously, with the delivery of Q4 and the momentum we see also what we have seen in January has increased that we will meet that. But I think it's not the time now to further raise it. I think it is that what we have done before in revenues we give a number. We have full confidence in it, and now we have to deliver. And it's all about execution. But in that execution capacity, again, how our businesses are positioned, I have full confidence. But at this point in time, I think we should first now deliver Q1 and Q2, and then we can talk about anything else.
Alexander Von zur Mühlen: Just in terms of the line now, that chart on Page 9 is deliberately illustrative in part because with the business units themselves in terms of profitability and and also capital usage or we don't disclose publicly. But you can work out the starting point average from our public accounts is about 1.5%, given all that took place in 2024, we think there's scope to more than double that average level over the next couple of years. And so that is, again, underscores a little bit the confidence that we have about the trajectory going forward. and the tools that we've built. Now some of that has to do with the costs, especially nonoperating costs from 2024 falling away. But a lot of it has to do with the levers for growth that Christian talked about steady kind of cumulative operating leverage across the businesses that we see. And then to your point, some amount of efficiency of the usage of the capital. We don't see though declining from here. So I just want to emphasize that if you're at around about $360 million over the years, we would -- especially given CRR3 and the other changes, that number would still grow by make up a number of $20 billion even with the efficiencies that we're putting through. So it is a significant amount of impact from operating leverage over time and all the other levers we've talked about.
Operator: Ladies and gentlemen, that was the last question. I would now like to turn the conference back over to Ioana Patriniche for any closing remarks.
Ioana Patriniche: Thank you for joining us and for your questions. For any follow-ups, please come through to the Investor Relations team, and we look forward to speaking to our first quarter call.
Operator: Ladies and gentlemen, the conference is now over. Thank you for choosing Chorus Call, and thank you for participating in the conference. You may now disconnect your lines. Goodbye.